Operator: Ladies and gentlemen, thank you for standing by, and welcome to the RH Fourth Quarter 2020 Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to your host, Ms. Allison Malkin of ICR.
Allison Malkin: Thank you. Good afternoon, everyone. Thank you for joining us for our fourth quarter and fiscal year 2020 Q&A conference call. Joining me today are Gary Friedman, Chairman and CEO; and Jack Preston, CFO. Before we start, I would like to remind you of our legal disclaimer that we will make certain statements today that are forward-looking within the meaning of the federal securities laws, including statements about the outlook of our business and other matters referenced in our press release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings, as well as our press release issued today, for a more detailed description of the risk factors that may affect our results. Please also note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Also, during this call, we may discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in today's financial results released. A live broadcast of this call is also available on the Investor Relations section of our website at ir.rh.com. With that, I'll turn the call over to Gary for opening remarks.
Gary Friedman: Great, thank you. Good afternoon, everyone and thank you for joining us. We're going to get to try a different format for this call. It's been recommended to us and many of you sometimes are scrambling and don't necessarily get a chance to read the letter before the call starts since there's only an hour between we put out the release and we've had a suggestion to start with the letter and read the letter. And then that way everybody's grounded and what we just said and it might just elevate and improve the quality of the dialogue as we go forward. So I'm going to start with reading the shareholder letter that we just released. To our people, partners and shareholders, as we anniversary what has been one of the most difficult years in recent history and as we begin to see the light at the end of the dark tunnel of this deadly and disruptive virus, we do so with a greater appreciation for our freedom and the simple gestures in life like a handshake or a hug. We also turn this corner knowing that we used our time wisely to reimagine and reinvent ourselves once again. In times of turmoil, humans tend to move in herds hunkering down and finding comfort and conformity. Even those who analyze and report the news seem to find reassurance in replication, trying to fit everything into a predictable pandemic piles of headlines we've all been reading. We for example have been put into this there's no place like home pile. Others have been placed into the e-commerce is everything pile. Both are actually good piles because every one of those you were looked upon favorably whether you're on the top or the bottom of the pile. I believe many on Wall Street are managing their portfolios in piles, looking through the reading glasses when they really need a microscope and a telescope. A microscope to search for the details and differences in those rare brands and businesses who belong anywhere with the pile and a telescope to see the opportunities that they will exploit post this pandemic. Since we the people of team RH generally move in the opposite direction of the herd are allergic to hunkering down and surely don't fully believe we belong in the pandemic pile. We've taken a shot at four simple headlines that require neither a microscope nor a telescope. The four P's that give you an insight into what you might expect us to do next because while most of the world that this past year sheltering in place we've spent the time reimagining and reinventing ourselves at a never before seen pace. So let me talk about these four Ps: our product, our performance, our prospects and our people. Our product we are building the most comprehensive and compelling collection of luxury home furnishings in the world. The desirability and exclusivity of our product amplified in our inspiring spaces has enabled us to gain significant market share with RH for demand up 36% in the fourth quarter. Our demand has accelerated sharply with February up 73% and the first two weeks of March up 96% prior to the cycling - prior to cycling the closing of our galleries, restaurants and outlets a year ago. Adjusted gross margin increased 480 points in the quarter, 540 basis points for the year and 1,210 basis points on a three-year basis versus fiscal 2017 again demonstrating the desirability of our exclusive offering and the pricing power of our brand. The strategic separation we've created will continue to grow as we further elevate and expand the RH Brand with the introductions of RH Contemporary in 2021 plus RH color, RH Couture and RH Bespoke over the next several years. Additionally, our plan is to unveil The World of RH, a digital portal presenting our products places, services and spaces this fall. We will begin to bring the different parts of our integrated ecosystem to life with rich content that we believe will enhance our brand and connect with our clients on a much deeper level. Our performance; we continue to build the most productive operating platform and business model in our industry with adjusted operating margins increasing 750 basis points to 21.8% versus 14.3% last year on only an 8% revenue growth. Let me say that again, 750 basis points on only 8% revenue growth. It's an operating margin never seen before in that furniture home furnishings in the market, and more than 50% better than the closest competitor. Our ROIC of 53% in 2020 also puts it in a class of our own. Our results represent a systemic lift that is not merely a temporal pandemic shift due to an unsustainable revenue gain. Remember, virtually a 100% of our core business is direct to customer, with less than one-tenth of 1% being cash and carry from our stores which is basically floor model sell offs at the end of the season. That is where our demand to revenues lag - our demand to revenue lag is much greater than other home furnishings retailers who have seasonal assortments and large cash and carry businesses. It's also important to note that due to the virus and due to supply chain disruptions, approximately 150 million of demand that was generated in 2020 will be recognized as revenue in 2021. While the majority of the selling cost to generate the demand - that demand was absorbed in 2020. If those revenues were recognized last year, our adjusted operating margin would have reached 23%. I often quote Bernard Arnault, the Chairman and CEO of LVMH, as he says luxury goods are the only area in which it's possible to make luxury margins. At 21.8% adjusted operating margin in 2020, RH has now eclipsed the operating margin of LVMH. And we have a clear line of sight to 25% plus operating margin over the next several years. With less than $3 billion of net revenues, you can imagine the leverage we should experience as we scale. RH has also become one of the top performing consumer stocks of the past decade. Since our IPO on November 2, 2012 at $24 per share, RH has outperformed Apple, Amazon, Google, Facebook, Nike, Starbucks, LVMH, Home Depot, Hermes and just about everyone else but Tesla. Warren Buffet says time favors the well-managed company. We believe our performance has and will continue to prove that point. Let me move to our prospects. We ended 2020 with just less than $3 billion in net revenues and believe the data supports the RH brand reaching $5 billion to $6 billion in North America and $20 billion to $25 billion globally. We believe that number will continue to grow when you consider our opportunities in hospitality and home building as we continue to expand the RH ecosystem with the introduction of RH Guesthouses and RH Residences. We're tracking to begin our international expansion in Europe with the opening of RH England and RH Paris in 2022. We are planning to open our first guest house in New York City this fall followed by our second guest house in Aspen which will include our first RH Bath House & Spa in the fall of 2022. We are currently in design development for our first RH Residences as part of our larger Aspen ecosystem and have already received multiple unsolicited proposals to purchase our homes sight unseen and to - or to place deposit and reserve a home. And we haven't put anything out there. And we've said nothing but put out the original press release. And we probably could presell every single home today. We believe the of revolutionary design of both the Guesthouses and Residences have the potential to create entirely new markets in their respective industries while also positioning RH as a thought leader, taste, and place maker. We also plan to open four new design galleries in 2021, all with integrated restaurants and wine bars; RH San Francisco, the gallery at the Historic Bethlehem Steel Building; RH Dallas, the gallery Knox Street, RH Oak Brook, the gallery at the Center; and RH Jacksonville, the gallery of St. Johns Town Center. We talk about our people. I believe we are the most resourceful team in our industry, and again not by a little. Tony Robbins talks about resourcefulness being the ultimate resource. It's not about time, money, or technology. It's about passion, persistence, vision, and values. Starting with no resources, we transformed a nearly bankrupt business selling nostalgic discovery items with a $20 million market cap into the leading luxury home brand in the world with a market value in excess of $10 billion. History has proven that men and women will work for a dollar but die for what they believe in. We say inside our organization, this is not our company. It's our cause. It's an authentic reflection of who we are and what we believe in. Some people say don't take it personal. Those people are not our people. Make no mistake. This is very personal to us. We believe brands with more control will become more valuable. We have always invested in controlling our brand from concept to customer avoiding intermediaries who will never care as much as we do. That's why we've avoided partnerships, sponsorships, franchising, or licensing, and continue to believe brands with more control will become more valuable. The easy path of expanding the brand rarely pans out to be the best path. The road to global expansion is littered with brands that put their trust in others only to spend years negotiating repurchase rights decades later after the damage is done. That's not to say there won't be exceptions where there's an outstanding partner in a challenging country. But it will be a rare exception as we expand the RH brand around the world. We also continue to invest in taking more control of the customer experience and have been testing our RH in your home in Los Angeles and San Francisco markets, and they're extremely happy with the early results. As Fernando Garcia, our President of Furniture Operations & Home Delivery describes it, RH in your home is not a different or better experience. It's a unique and memorable experience as we extend the gallery into the customer - into our customer's home. With furniture ambassadors managing every detail, it creates an impression with our customers that can last a lifetime. Additionally, we are opening a one - a new 1 million square foot furniture distribution center in Southern California this spring. The new facility will allow us to reduce delivery times by 7 to 10 days for both outdoor furniture and special order upholstery in most major markets. 2021 has all the signs of a very good year. While 2021 will surely be a tale of two halves, the fact that we - the fact that we have a booming housing market, a record stock market, low interest rates, the expectation of a rebound in the economy and jobs market combined with recent further acceleration in our demand trends as it's feeling more rather than less optimistic that it might just turn out to be two very good halves. What we expect to face in - while we expect to face continued difficulties ramping vendor production to meet demand, and we don't see the challenges with ocean freight or port congestion resolving themselves anytime soon. It's hard not to forecast first quarter revenue growth of at least 50% and adjusted operating margin in the 20% range. With the momentum in the business, we believe it's safe to say 2021 should result in revenue growth in the range of 15% to 20% with adjusted operating margin expanding 100 basis points to 200 basis points and ROIC in excess of 60%. We have made the decision once again to delay the mailing of our Source Books and the launch of RH Contemporary until the fall of 2021 to enable our manufacturing partners to catch up to the increasing demand trends. This decision should also support a strong second half as we have held back new collections for the past year, which will result in one of our largest new product launches in our history. Our RH Outdoor Source Book filled with 10 new collections is scheduled to be in-home starting this week, with the digital Source Book and new outdoor collections live on our website today. This is a time to be defined by our vision, not by a virus. As we move past the dark days of the pandemic, let us remember our resurrection, a time we reimagined and reinvented ourselves once again. A time our results redefined possible for a home furnishings brand, a time when our performance forced the rest of the world to remove us from that pandemic pile and see us for who we truly are. A team of people who don't know what can't be done. This is a time to be defined by our vision, not by a virus. Carpe diem. Okay, I'll turn it over to you, operator to open the call for questions.
Operator: [Operator Instructions] And your first question comes from the line of Steven Zaccone from Citigroup. Your line is open.
Steven Zaccone: Congrats on the strong results and happy to be a new addition to the earnings call. Gary you have a lot of momentum in the business right now and significant amount of product newness, you're growing the hospitality offerings and the margin profile significantly outpacing your early outlooks for the business. With all of this momentum in mind and thinking about how the world has changed from a global pandemic standpoint, where have you gained more confidence in the long-term growth potential of this business?
Gary Friedman: I don't know if anything's really changed for us based on the pandemic. In fact, I don't think as much has changed as most people think or believe. I mean, look you just start with the fact that our business is basically 100% direct to customer platform. So we've been channel neutral our entire existence here. We don't really care where anybody places an order and whether it was through the pandemic when order shifted from stores to online or virtually with our people. As soon as our galleries reopened, our business looked pretty normal and I know there's a lot of talk about well this is going to accelerate the growth of the Internet by 10 points over the next several years. That may or may not be true. I would say we're indifferent to that. We're really indifferent with the inherent channel shift that is going to happen over the next several decades. We've anticipated that. We knew that was going to happen. We're indifferent to that happening. People are kind of reframing their models and closing stores in an accelerated rate due to the fact that there's been this channel shifts and that may be true because their model within architected with the view across - independent view across all channels strategically or financially. It might have been an old model that was architected just for a retail business and they've more recently got into a direct customer business and had a rush online without strategically thinking about all the implications of it. We built this business beginning 20 years ago as a channel-neutral business and it's a platform looking ahead at the next 20, 30, 40 years and saying, we could see the world going there. So whether it gets there - whether it goes 5% or 10% faster and there's a greater shift or slower shift, we're completely indifferent. It doesn't change anything about our real estate strategy or online strategy or anything we're doing. We believe physical - great physical - let me take great physical experiences in this physical world we live in are going to remain relevant. If anything, I think we're going to be even more relevant post this pandemic because it's - I think it scared a lot of people out of investing into the physical world. And it's just motivated a lot of people to follow the herd into rush to be an online business, rush to be a digital-first business, rush to be a digital-first business with a few stores. I know where everybody's rushing to and we don't - we only rush to some place that we figured it all out. And we thought about it a long time and very deeply, so I'd say nothing has fundamentally changed about our strategy based on the pandemic. There's - we're indifferent to the pandemic, we're solely focused on building the most compelling product assortment presented on the most inspiring immersive platform in the world with the most incredible service - services that anybody can have in this industry. And we think that those are the right things to focus on, not chasing shifts in the business. That's very kind of tactical. Others will shift to online. Great. If you didn't see it coming until now, you're way, way behind.
Steven Zaccone: Great. That's very helpful detail. Just a question on the margin outlook for the 100 basis points to 200 basis points expansion, how should we think about that from a gross versus OpEx leverage standpoint? And specifically on the growth side you've had two strong years of your product margin expansion. Do you expect that strength to continue this year? Thanks very much.
Gary Friedman: I'll let Jack take that one. Go ahead, Jack.
Jack Preston: Yes. Well, like you said, in the last couple of years our margin expansion has been primarily driven on the gross margin line. So for fiscal '20 of the 750 basis points increase, three quarters is nearly where gross margin. And so I think on balance you're going to see that - the quality of that margin increasing continue. And so while we're not guiding specifically to say what exact portion of the 100 basis points to 200 basis points is going to come from gross margin, I would characterize it as at least half if not more.
Gary Friedman: Yes. And let me build on Jack's point. I think - as you asked that it makes me think about probably what is probably not obvious if you're in the outside of this business, because people have seen us reposition products. It tends to take pricing. But I think it's probably not clear that as we evolve this brand and as we continue our climb up the luxury mountain, the product quality is going to continue to move substantially. And the pricing will move with the product naturally. But the value equation will get stronger, not weaker as we get smarter here and we develop better and deeper relationships with our key manufacturing partners. So what might not be clear is as you take the prices up and you get product margin in that equation, you also get leverage throughout the supply chain, right? And so - and that's probably a simple mathematical equation that maybe not everybody is connecting the dots on. But it's relatively simple if you think about it. And if you just kind of try to capture the essence of Bernard Arnault's quote that only in luxury products can you have the ability to make luxury margins. There's a simplicity and a truth to that. This would be - it would be very hard to build a model like ours if you're playing in the middle of the market.
Operator: And due to time constraints, we do ask that you please limit yourself to one question and one follow-up. Your next question comes to line of Adrienne Yih from Barclays. Your line is open.
Adrienne Yih: Wonderful news on the momentum continuing. Gary, we've spoken before about demand creation, how it's not no longer a single number on the P&L like a percent of sales but a confluence of the investments you're making in Aspen, London, RH3, etc. It seems RH is building more of desire creation and a pipeline of future customers. So who wants the RH lifestyle, right, and everything that comes with it. So how should we think about that advertising demand creation line in and of itself going forward? Thank you very much.
Gary Friedman: It's a really good question. And so the right way to think about it. Building one of most admired brands in the world, desired brands in the world whichever adds to it you want to use really it takes a different path, it takes a different way to communicate and I think we're in a world where it's harder and harder to get your message out because there's so much information out there. I read a study and I think it's about a year ago that humans are consuming 700% - 7 times the information than they were 20 years ago and it's an astonishing number if you think about that from 20 years ago we're consuming 7 times more information because of these devices we have and the amount of information, the amount of platforms we're communicating on and the ease of communicating to us. So the way to kind of breakthrough, right? Steve Jobs said something if you watch his original kind of YouTube presentation when he's on his shorts and flip flops on a little Apple stage when he came back to Apple and he was talking about he was reintroducing to think - reintroducing Apple and introducing the think different campaign. And he said we live in a really noisy world and it's going to be really hard for anyone to remember anything about any of us and that it is so important to - that he talked about marketing and about values, right? About those things you deeply believe in and connecting with people about values and he talks about some of the great brands. He talked about Nike being one of the great brands in the world. And he said if you think about Nike they're selling a commodity, they're selling tennis shoes, right? They're selling shoes for the most part. And he said - but yet in their advertising they don't talk about the shoe. They don't talk about the sole. They don't talk about the laces. They don't talk about - they talk - they celebrate great athletes and great athletics, right? And he talked about Apple believed that they could - that people - that they're passionate enough really could change the world. And that in that Apple brand, the Think Different campaign, it was also a campaign that was more than anything else is about the absence of the product, right? You didn't see an iMac. You didn't see anything in the campaign. You don't really - think about Nike. It hasn't built their brand based on any particular shoe. We all remember the Jordan shoe. But why do we remember that Jordan shoe? Because of Michael Jordan, not the specific shoe, right? So if you think about the great brands and you think about how they built them and how they communicated, they - it's very unique path. Think about this. The standout. Tesla is the fastest growing most valuable car company in the world. They've never had a TV commercial. Think about that. People line up for Teslas, right? So we say inside our company, like, for example, we don't have a marketing department, and that may shock a lot of people. We don't have a marketing department because marketing a lot us about putting lipstick on a pig, right? It's like taking an average idea and trying to dress it up and spin it and make it something better than average. That's really hard to do, right? It's just really hard to do. And we don't have a marketing department we say it's not what we say, it's what we do that defines us, right? So we have a truth group and our truth group, in the past, they'd come to me and say someone wants to write a story about this and they're going to put us in that story and go well, that's not what we believe. Like why would we want to be in that story? It's not our truth. And so our work is our truth.  And we define ourselves through our work. And we connect with people through our work. And that's why launching kind of a fully integrated revolutionary ecosystem in a place like Aspen where the wealthy and affluent vacation - visit and vacation and doing something extraordinary there, you've got it - you've got the attention of the right people. And we're not going to bang pots and pans and say look at us, we're going to do some extraordinary work. That's why I say when climbing the luxury mountain and taking the path we've taken, all the luxury brands were born at the top of the mountain, right? Like you think about any luxury brands, they're all born at the top of the mountain. We weren't born there. We were - we weren't in born at the bottom of the mountain, right, we were born underground. We're basically a bankrupt company. So we had to kind of dig ourselves from out from under the ground and then decide like we're going to make a climb that no brand has ever made. No one's ever tried to make this climb. And so we're - and people on the top of the mountain, they don't really want you to make that climb. You're not from the neighborhood, you don't get invited to their parties. And so you have to got to do work that is so extraordinary, so remarkable, so amazing that it creates a forced reconsideration of our brand, that it forces people at the top of the mountain to tip their hat, right? To kind of say nice job. We have to earn their respect. So there's a famous quote that says, when you don't come from royalty, you have to earn it, right? And so this work that we're doing, the things that we're doing to build this brand we believe is the right kind of work. We believe if we do extraordinary work that breaks through the clutter, people are going to talk about it. And by the way, we put out a press release, a single page press release talking about Aspen. And I don't think I've ever had more billionaires reach out to me and send me notes and say what are you doing in Aspen? Like I personally had three requests to buy one of their homes. Our partner has had about 12 requests. Nobody's even seen a home. We even didn't put a rendering out. So when you think about that, it's like, we are about - we're about spaces. We're about design and architecture and living, spaces and places. And that's what we're about. And so, doing incredible spaces, creating inspiring environments, we believe will break through the clutter. And it's way more powerful than just doing it at and trying to talk about. That's why we don't have social media. That's why we don't have an Instagram account. We don't have a Twitter. We don't do this. Everybody has told me, you need to tweet. You need to you need Pinterest, Pinterest account. You need to have an Instagram account. People will follow you guys. Gary, if you tweet, you'll have all of these followers. I'm like, I don't want to spend my time thinking about what to tweet tomorrow. So, I don't want to spend my time, I don't want to have a department that's reviewing what pictures to put on Instagram that day. And by the way, just as a point of reference, we don't have a Pinterest, a Twitter and Instagram, yet we're the most pinned brand of our kind in the world. We're the most tweeted about brand of our kind in the world and we're the most Instagram brand of our kind in the world. And so like that's why we believe it's about our work and that's why we're doing the things we're doing and by the way by doing the good things we're doing like even building and aspiring galleries we're building, we're now looking at the model and we're saying in these galleries and especially the ones with the restaurants, right, that are driving significant traffic. We don't believe we need to spend as much money mailing catalogs in that market because with thousands of people we feed every week. And so when you think about our financial model and opportunities and leverage in investment just because we used to invest a certain way doesn't mean we should keep investing that way because we're - as we continue to innovate we can see around more corners, we have more data, we have more learnings and I sit here today and I go like gosh, we haven't mail the source looking how long. A year, right? Yes, a year. We won't have mailed the sourcebook for 18 months or something by the time we mail the fall sourcebooks, I don't know do we need to go back to mailing sourcebooks twice a year. Do we need to mail this deep like in the markets where we have these magnificent architecturally significant spaces and places we built. How much are those worth to marketing, right? And I get it. Yes, you might be closing stores if you're building kind of crappy stores that are in line in a mall that everybody's got a glass storefront and all you have is your logo up above it that's different. But that's not what we're doing, right? So we're doing something different. So you can't - that's why I say you can't put us in the pandemic pile, right? You can't put us in the pile with everybody else; you'll miss the whole story here.
Adrienne Yih: Gary, that's very helpful.
Gary Friedman: I consider it one of the best questions I got in a long time.
Adrienne Yih: Your philosophy is always welcome. Jack, a really quick one. Actually this one is 73% and 96% demand growth translate. And then we have - we're now in the part where the stores were closed. What - to at least 50% revenue growth, is that due to poor congestion or lack of inventory? It seems like the spread between those two numbers would be tighter.
Jack Preston: Yes. Well look, you're going to see the same dynamics in terms of the supply chain constraints. And for the same reasons that the demand growth exceeded revenue growth in Q3 and Q4 were with the strength and business you're going to continue to see that in Q1 and the potential acceleration given the strength and acceleration in demand.
Gary Friedman: Yes. And again, the key word is at least, is at least, right? So we give you at least how many times over the last few years, at least this, at least 18% operating margins, then it's at least 20%. Then it's - so we tend to kind of give you at - we want to make sure whatever happens, we're going to hit the at least. But we generally beat the at least pretty handedly. And - but yes, there's a lot of things to kind of consider but at least means that we have more than that.
Operator: Your next question comes from the line of Curtis Nagle from Bank of America. Your line is open.
Curtis Nagle: Gary, perhaps a bit of a piggyback question on Adrienne's, perhaps just a little bit more specific just thinking about the ecosystem that you guys are - you must have rolling out. I just go two questions. How meaningful do you think that could be as a brand enhancer for RH over, say, the next three to five years? And as a standalone business, how important that - as a revenue and profit contributor or as - I guess kind of the former points more important, how should we think about that?
Gary Friedman: Yes. Well, I think it's going to be a meaningful brand enhancer. And I think if - it's funny I - if you would ask me five or seven years ago, we started work upon this, I would have told you it's going to be a meaningful brand enhancer. Now, I look back, and I go, that wasn't even any good at all. We were working five, seven years ago because we keep - tend to keep making things better. And that's the great thing about kind of only having a vision about something versus kind of start working on something, right? You really learn when you start doing. And that's when you can really start accelerating your education and connect more dots to see around more corners. I think what we're about to unveil in New York and Aspen - I don't think anybody has any idea what it is. I really - I don't. It's - I've been fortunate enough in my life that - I've been traveling since I was a relatively young man and traveling all over the world. And I've been in a design business whether it be at my former - the former company I worked at or today where we search the world for the best stuff, the best design, the best hotels, the best places, where are we going to get inspired, what are we going to see? So I've seen a lot, right. I've been to most of the Aman Resorts in the world. I've been to so many so many places both personally and professionally. And someone asked me, how long have you been working on the Guesthouse? And I told them about 30 years because that's how long you've been thinking about it. That's how long you've been traveling to really great places and asking myself questions like, why don't they have this? And why isn't anybody thought of that? And why does it have to be like this? And I think when you see what we've done with the Guesthouse, there's just things that no one has ever done in hospitality. And why they say a lot of the - most of the innovation in the world happens outside. It comes from outside of industries not inside of industries, right? Like, again I go back to Tesla. The guy never built a car ever, ever. And it's massively turned over the car industry. And now every car company in the world is racing, racing to catch up, racing to have electric cars, right? We've never opened a hotel before and we're not going to now because it's not a hotel, it's a guesthouse and it's importantly said that. And when you see our website launch in the west - on the - the website launch when we open, the first thing you're going to read on the website, it says this is not a hotel, right, because it's not. It's a completely new way to think about an experience like that. And so I think when you do work like that, one, it has a great chance of having people at the top of the mountain tip their hat because they haven't seen it. I mean think about this. Like if we want - if you go to the top of the luxury mountain and say okay, who lives there? Who has the biggest house? Bernard Arnault, right, runs the biggest luxury platform in the world. I'd say internally I joke around and say look, Bernard Arnault just bought Belmond for $3 billion, right? So like nobody thinks we're impressing Bernard Arnault. I guarantee you, when he sees this guest house. He's going to be forced to tip his hat, because nobody's seen anything like this in the world. And that is what is going to create the conversation, right? That is what's going to change the perception of the brand. A brand that started underground had to dig its way out of the grave and start climbing a mountain that's never been climbed before. You just have to do things that people can't imagine. And I think this is all about - it's all about brand building. It's all about truth and respect, right? The work is our truth and I believe our work will be respected. And our truth then will be respected, and people will listen closer. They'll pay more attention to us. And then out of that, you know, out of that and same thing with the homes that we're doing, the residences that we're doing and other things you'll hear about. I mean, let me just go back for seconds to start here. We never knew anything about restaurants, right? A few years ago, everybody will tell you, you're going to open a restaurant like, what are you going to do? Who's going to run it? It's just that we had a partner to start now we run the whole thing ourselves. We have - we're vertically integrated to hospitality organization. We have 10 restaurants today. Our restaurant volumes and how they're tracking, because we keep innovating and evolving. And the things we've done in the last 18 months - 12, 18 months, you can't even see them yet because of the pandemic. But our restaurant volumes will rival the highest volume of restaurants anywhere besides the one or two great ones. But when people - when we reopen and really reopen, when we can seat all our restaurants our volumes are going to be among the best. People used to talk forever about mall developers really wanted a cheesecake factory because they did $10 million on average on restaurant. It's very likely very soon our restaurant will be at that kind of volume and it has to do with not just the number of customers coming through but the average ticket of the customer coming through which then influences who's coming through which makes sure we have an audience that is aligned with the target consumer and who we want to impress. But we're going to be a pretty good restaurant company if you looked at the numbers and the returns and the margins on our restaurants today, they're three times better than they were three years ago. And so we're pretty good at that and I think what happens is with things that you really care about, right? We talk in our company about three lenses. We look at every decision base and we choose based on what is the emotional value of an idea, what is the strategic value of an idea or what is the financial value of idea in that order, right? Because if you just focus on the financial value but idea if nobody really believes in it, if nobody's going to die trying to bring it to life, the financial value is never going to manifest itself. But if you've got ideas that have really high emotional value that the people in the organization really give a shit they really care about it. They're going to get knocked down 10 times and get up 11. The effort and the passion and the learnings that happened just change the outcome. I've seen things that have really high financial value - really high strategic value, really high emotional value, relatively high strategic value, but moderate financial value that have turned out to be the biggest financial ideas in the company because the work turns out to be so good. And on the opposite hand, I've seen just the opposite. I've seen things with moderate emotional value, relatively high strategic value, and super high financial value. Somebody thought it's worth - the $500 million idea wind up being a $5 million idea because nobody cared enough about it. And to do great work, the effort has to be - you want extraordinary outcome, you have to put an extraordinary effort. There's no shortcuts, right? Elon Musk was asked, you run three different companies. You run Tesla and SolarCity and SpaceX. How do you do that? He said, look, it's simple. It's just physics because the average executive might be working 40, 50 hours a week. And he said I work about 150 or 160 hours a week. So I work three times - I work three times more hours than the average person so I could do three times more. And he goes, it's very simple math. If you hung out with the people in our organization, you find out that we really love what we do. You cannot stop us. We are going to figure it out or die trying because it's more than just a job to us. It's our life. And when you work on stuff like that, the outcome tends to be much greater than you could even imagine in your original vision, you meaning us, right? And so that gives me - like somebody said, hey, do you think you'll ever make money in the Guesthouses? Well, I said, yes, if it - I said, look, if I don't lose a lot of money, it's going to be a really good thing for the brand. I actually think we - now, when I look at it, I think this is going to work. I mean I - we haven't sold a room, not yet. But let me tell you something, I sure want to stay there not just because we - I built it. And - but like we have thought so deeply about it that we're going to do things that no one in hospitality has ever done and they're really good ideas. And the same thing with our residences like there, we've designed the one on Red Mountain. Like it's shocking, it's so good. And so, and it's because this is, we're passionate about it. It is - these ideas have huge emotional value. And when it has high emotional value, people, they don't put in a day's work. They put in a week's worth than a day and the outcome reflects that. So I think these will at a high-level, these will massively, massively elevate and render the brand more valuable. And I'm hopeful today that they'll also have really good financial models. I feel more clear about the homes by the way. I think I think that the homes is easier math for me because I own homes and bought homes and like, I'm the consumer and I know what we can build and what we can sell them for and how much we can make, and I think will create an extraordinary product that I think we'll make a lot of money in the home business. Whether it's single family homes, condominiums, things like that, we do luxury apartments which is a really interesting market. It's like there's no great apartments in the world. They're just not designed well you know. But think about it, if we do fully furnished luxury apartments, right and how many people need to go into a market, live somewhere for a year or two, don't want to buy a home but they got a lot of money and they want to live in a really beautiful place. I mean, we think that could be a fantastic idea. The Guesthouse thing, I don't know, like it's - we're doing things no one's ever done. Like we got no meeting rooms, we've got no weddings, no nothing, no celebrations, very private. It does a few things better than anybody else in the world but it doesn't do all the thing. So it all depends what kind of room rate can we get for this extraordinary rooms and this unbelievable sense of privacy and luxury we created we'll know soon, yes, we'll know soon but we're excited about it.
Curtis Nagle: Yes. Clearly and thank you for the very thoughtful answer and hopefully come fall we can start to see some of us in person. So good luck for the rest of the year and thanks.
Gary Friedman: Yes. We'll figure out how to kind of do a little - like we're thinking. We don't know - how do you do a launch party in a 10 room hotel, right? You can't have just people like walk around the hallways, right? And so like we - then we thought, like I thought I'm going to do it like I might do a week of sleepovers, right? Where you get invited for a sleepover but I can only do like can we get two people in a room times 10 rooms, so we have 20 people a night but it's still 100 people. We get the right influencers and the right people and we're going to try to - we're going to try to open this. We think coincide with Fashion Week and we think Fashion Week will come back and everybody in New York will be back in the Hamptons. We think people be traveling again in September. It could be like the greatest coming out party in the world and some of the who's who maybe want to come for a sleepover and get to see something no one's ever seen. And yes, we start the right conversation. But I think what we'll do is probably during that week we'll stay there for a while and maybe it's a good time to do an investor meeting in New York and bring everybody up to speed and do a tour of the guest house probably right before we really open it to the public because once it's open you can't tour anybody through it, right? Because privacy it can't be taken. Hey, these are bunch of Wall Street guys taking through here. Sorry, sorry, excuse us. Yes, we know this is about privacy but not today. And so there's going to be one shot to kind of really see it and we'd like to kind of do that before it opens.
Operator: Your next question comes from the line of Max Rakhlenko from Cowen & Company. Your line is open.
Max Rakhlenko: Thanks a lot guys and congrats on the incredible quarter. So as we think ahead about the 100 basis points to 200 basis points of EBIT margin expansion in 2021, what do you see as the biggest buckets of opportunity is? And then longer term as we look ahead to the 25% plus, what do you see as additional opportunities beyond 2021?
Gary Friedman: Yes. Well - look, the - we've kind of said a 100 basis points to 200 basis points, we also kind of put some dots out for you, right? We said, hey, of that $150 million had shift this year. We would've been at 23 to start with. We're kind of 23. And so, then we - then we got another 100 basis points to get you to 24 which is 200 basis points higher than 2018, right, 2,200. So, you can get there pretty easily. It's not a lot of moves. And some of it will depend to just how much - where is the revenues really go here. We don't need a lot of revenues to kind of get to where we're pointing you. If for some reason these revenue trends continue - like, I mean it's really interesting. I've never - this is - I've never seen anything like this. I mean, I've been through the Great Recession and I've been through multiple recessions in my career. I've been in the home category now like how many years, 34 years. Just like Jack reminded me the other day it was my 20th year anniversary here, not to get to everybody that wished me happy anniversary, but I don't even know that. He goes, Oh, God I'm sorry. And I missed your anniversary. He didn't even know it's my anniversary. So, yes, I've been here 20 years, at Williams-Sonoma, 14 years. I've been 34 years in the home business. And I've seen a lot of cycles during that time. And I've never seen anything quite like this. I tend to - when there's really good news like this, I tend to be the pessimist in the company. I tend to be the one with just - whatever demand you think we're getting right now, it's not because of us. It's not going to stay. Don't architect the business for this. This is going to go away. And it hasn't gone away yet. And I've talked to some pretty smart people that have given me different insights into - look, Gary, what - like, here's one that I think is interesting for everyone to think about. And this is really smart. And it comes out of an - from analysis from a really credible deep thinking smart person that the move of America that you're seeing today, the pandemic shift of out of cities into suburbs or into second home markets, which - by the way, the suburbs thing is a great thing for us because 80% of our business is in the suburbs. And so the move to the suburbs is not just a move to the suburbs. It's a square footage expansion by - they believe it's two times or more square footage expansion for the consumer. And I hadn't thought about that before. And that was a really interesting point. And their map said, look, Gary, your customers that are moving from the cities maybe in a 3,000-square-foot apartment are moving to a 6,000-square-foot to 10,000-square-foot house in the suburbs. And they didn't have outdoor furniture in their apartment in the city. And now they all have outdoor furniture because they have big yards and lawns and pools and so on and so forth. And so I just like that done to me, right? I hadn't really thought about it like that. I didn't think of the square footage expansion of the consumer. And the other thing they said was that the issue with getting a contractor right now is a huge issue that you could go out and buy a house. But if you have to remodel it or do anything to it, you have to wait six months to get a contractor. So they believe six months or longer and some are - there's this real lag. And so this person believes that and they said this to me and I was like, I didn't even know how to respond. Like, they believe that our business was going to accelerate because of the lag, because of this massive shift, right, that the longer the pandemic went, the more people started moving permanently. I'm not talking about the people that kind of flew back to their place in the Hamptons. That's very different, right? Like think about New York. Everybody went to the Hamptons, they could. Anybody that had a house was at their Hamptons house, right? They relocated there for the year. Anybody that could rent a house in the Hamptons, rent, whatever, you could buy one like bought one. So, but a lot of them are coming back and let it in. And at first everybody was like a temporal thing. And then all of a sudden then there's this shift of a different perception of how people wanted to live and it could be a more permanent kind of thing. So I think this moving thing could be a much longer tale and a much bigger move. And then you say to yourself, well how long does it last? It all depends on how permanent the move is, right? Like, so if you think about our business and I'll give you some numbers that I've never really talked about before. But our business prior to the pandemic was 80% suburbs,10% second home markets and 10% urban market. So when I think urban market, I'm talking about the city, right? Like not Beverly Hills is not the city in Los Angeles, right. The city is the vertical part of Los Angeles, it's called Los Angeles City. So we have some vertical markets like Manhattan or Chicago, right? That really vertical that have a lot of high end homes and we have relatively big volume. But almost everywhere, our business is much more suburban driven and that makes sense. The homes are bigger, got backyards, you've got kids. You've got like more bedrooms, more spaces, more family rooms, etc, etc. And then the pandemic hit and it shifted things. And you have this explosion of second home markets. And all that happened to our numbers really is the second home markets went from 10% of our business to 20%. Now the group spent exponentially faster and this is the percentage shipped, right? So you're - and 12% - 10% to 12%, yes, 10% to 12%. And then and then suburbs basically stayed the same and cities just went down by two points to 8%. But if you think about our model of being 92% of our business and this is not where the demand generate, this is a shift to addresses. This is where the product was going, right? So if you think about 92% of our business is architected perfectly for whatever long-term change this pandemic has and there's another study about the kind of the big shifts in kind of moves when - I try to remember the data, sort of person was talking me about it. I mean how every so many years, there's a shift here and there's a shift, people are moving in here and there's a big move into the suburb of the 50s and 60s and 70s and that kind of move back into the cities over the last 10 to 15 years, right? ReGentrification and all this kind of redo of cities. But the shift that might be happening, might really stick. That's the logic that certain people here are kind of sharing with me and they think this is not temporal. They think there's going to be a lot less people that go rushing back to the city and they think that the rush back to the city is going to be at a much younger consumer going back. And that the consumers that are 40, 50, 60 years old that moved out of the cities are going to stay out of the cities. They don't think they're coming back. And then that becomes - when I think about it that becomes really good for a business long-term because that that also means even the moves within the place like not everybody. If you think about it you moved out to the suburbs, you scramble and got a second home during this pandemic rush there's kind of it's almost like a movie, right? Like everybody's got to leave the cities and all the cars are backed up and the kids get out and it's - the odds of you getting the house you really wanted in that moment is really low, right? And I got to believe there's a lot of people renting homes, I know we're doing a lot of quick design installs, people like need the furniture in two weeks, right? And luckily and one of the advantage, here's another advantage this is like kind of a little side point to this but I think it's worth saying and sharing with everybody as we all try to figure out where things are going and what's happening here is. Like I thought about this and I thought. Why is our demand really accelerating right now? What is happening? And I think that there is just back up, this pent up demand just like people couldn't get contractors. People are out now and finally come. But for all the people, that are moving out and they need new furniture and they needed in 30 days. So they need it in three weeks or two weeks, I think we're benefiting now because we actually stocked furniture. We were one of the few places that actually stocks the product and you can get it quickly. Not everything. We have a big special order business and we're in backwater now. But this is where times like this, is where I think our model is advantaged versus a Wayfair in Paragould, anybody else online. What I call our marketplace model where they did only the inventory, right? But that's - one of the beauties of a model like that, it's a low capital model and you should setup for high returns if you can get the earnings model to work right. But no one ever really thought about what's the inherent weakness of that model. If you go on Wayfair and like - and we mostly look at what they're doing on Paragould. We look at anybody who might be competing with us. And the amount of out of stocks and what you can buy there is unbelievable. Because they're - then - their weaknesses, you've got a lot of these small and capitalized businesses trying to just sell shit on a platform like that - in a marketplace. They'll take anybody by the way. It's not a big approval process. You want to go sell some on Wayfair. So, actually you don't get to that many vendors that quickly if you have really high standards of who's selling on your platform. Yes. You can't possibly talk to that many people. That means a lot of low level people are approving a lot of new vendors. But I look on there and I know some of the people and we know who the factories are all around the world. And again, those people don't have any money. They can't afford to have the inventory, right? So I think in sustained things like this, we actually, I'd never thought of it, but we actually have the inventory. Like we actually, if you needed your house furnished next week we could pull it off if you live in a major market. So that's a big, big opportunity for us. But I want to go just go to that point about the 25% operating margin and what are the opportunities beyond 2021. Just scale this thing, right? Like we have a lot of a lot of strategies and initiatives that we think are margin-enhancing strategies initiatives. I think well, RH in your home is initially an investment. I think it's going to have a great return on investment. And we just have a lot like that. We keep fine tuning our model on our new galleries. And I think they're going to be more productive and less productive. Our restaurant business is going to be massively better. Our waterworks business, we've got the - versus three years ago, I think we've got the EBITDA probably 12, 14 points better, 15 points better, something like that. So, and then you just scale this thing. Just - think about this like, we're $2.8 billion company. That could be so much bigger. And we've built a really smart and simple platform here that you can scale. And so the leverage as we scale, you think about like other - somebody brought up Sonoma to me last week as they obviously had great results and fantastic outcome. And I think they're doing a tremendous job. And - but they’re already at $6.5 billion or something. What is it, $6.5 billion, $7 billion? So, yes, $6.5 billion, right? Like, we’re not even half the size of Williams-Sonoma. And we have the operating margins that we have today, right? So just do scale now, pick up 20 basis points in, like, eight different places in the company. You get - it’s a real leverage, right? And so that's why we think we have a line of sight to 25% operating margin plus today, plus. And so far every margin target we've given you we've got there much faster, much sooner than later, right? So, yes - so we wouldn't be so confident and clear and tell you - like, if we couldn't see it and we couldn't draw the straight line to the numbers. So we just keep learning here. And we're kind of always unsatisfied, always on the move. Like, we rarely celebrate. Like, it's for moments - it's not that we don't at all. We get super excited. But constant students we learn. And so what - if you keep learning, keep seeing more, and if you can see more then you're just never satisfied with where you are. So - and that's kind of our culture, right? I think this team - and we've integrated, like, 10 new senior leaders into our leadership team. We've got - some people I can't talk about yet because we weren’t kind of public with the idea. But we've got leaders of international supply chain. We've got lots of new talent sitting around the room. And that also allows us to do more. We've made a lot of human capital investments here. So, anyway, long rambling answer. Sorry about that. But just some - I thought some of that stuff could be helpful. That was helpful to me to think about how to think through this pandemic just like the moves and the move to the suburbs and how that might affect us and the square footage growth. I think the square footage growth is really an issue because you could be selling two to three times more furniture just because - to the same consumer. And it's interesting because our tickets going way higher, average orders are going way up. Yes, so it's kind of actually playing out like that.
Operator: Your next question comes from the line of Steven Forbes from Guggenheim. Your line is open.
Steven Forbes: Gary, you mentioned getting more control right in the business and I was hoping you can maybe expand on that theme, right? Where your mind is at? What other aspects of the business are you looking at, gain more control over whether it be manufacturing, whether it be the whole design process, right, I think RH In-Your-Home experience? Would love to just hear your thought process on some of the ideas around control.
Gary Friedman: Yes. So Steve, this is a good question. As we think about it strategically, right, like our models is going to throw up lot of cash here. And what are we going to do with that cash? I mean, clearly, there's - you can invest it into the business. You could buy back your stock. You can pay dividends or so on and so forth. But if you look at our model look at it over the next five years, you got to kind of get out in front of it and say, what should we do and where do we see the biggest opportunities are to create more value. And what are the biggest ones we’re discussing is this idea of controlling more of the brand and I think we’re realizing as we scale the luxury mountain. There’s so much fragmentation and I always like to say products to this quality is never been made in these quantities. And I think taking more control of the product pipeline whatever that might mean whether it's the manufacturing, whether it's the sourcing whether it's - there's so many aspects of it whether it's raw material procurement and like do we take like most of our furniture is made with four species of wood, right? I don't know. Do we take positions in certain woods to give us a competitive advantage meaning like one - like is one is just sometimes getting the raw materials. If you're as big of a platform as we are in outdoor furniture securing teak is one of the challenges and should we own outdoor furniture manufacturing, so we have access to have more control and more access to raw materials that could give us a massive competitive advantage. Other parts of the business we've done we have our own furniture upholstery Manufacturing in North Carolina, it's not very big but we've learned a lot doing it and we've got thoughts about that. But also just thinking about if you keep climbing up that luxury mountain there's less and less scale in manufacturing as you get up there. It's more what I call a workshop business, very high end. Very - I should say couture and bespoke maybe, put out of breadcrumbs like that. And how do you scale that. How do you build a platform and scale that. And - or just think about this, if you think about going global. Right. I mean, our goods tend to be bulky and heavy and good. It's not superefficient shipping furniture all around the world. It works today and you know there's certain things that are different countries are better producing than others. But, the world's going to kind of keep I think with technology, and the world's going to keep getting smaller and smaller. Competitive advantages between countries I think are going go way long term. And I think they'll be - there should a more neutralness to the world. That could be so easy to find, cheap labor here or efficiencies here sold to manufacturers. I think you're - I think the world in 10 years from now is going to look very different than the world of today. And we think about it is, what's the right way to build our platform. Should we have furniture made in America for America. Should we have furniture made in Europe for Europe. Should we have furniture made in Asia for Asia. You know is that the right model. So you build a supply chain that is country centric especially where you think your biggest parts of your business are going to be. And you have - you replicate manufacturing capabilities. And then also, you don't have a single points of failure. I mean, one of things you can learn in the pandemic or something like this, right? Like, you have all this demand and it’s like you got one person making that. Or you have tariffs happening and, like, oh, crap. We make all of this there. And now all of a sudden there’s 25% tariffs. And you kind of got - you got no move, right? You’re only move is to kind of negotiate and try to figure out any way around it. But I think about - this is the situation hit us is what does a global supply chain look like for a $25 billion brand? What should that look like? And by the way no one's built one in our industry. So I think we've got a chance to completely whiteboard it and do something that's just never been done. And we've got the capital structure to invest, right, to invest to have even more strategic separation and capability than others. And we're at the high end, right? So we have a lot of leverage in what we do, right? There's a lot of leverage selling the things we sell versus selling the things other people sell at lower end of the market So, yes, we - we're thinking about every - kind of every aspect and - whether it's the supply chain and home delivery, whether it's the manufacturing, whether it's raw material procurement, and how do you control the raw materials and have leverage there, but also just leverages have accessibility. Like, if we - we have a run on peak and we can't get to peak like, that's just - you're crippled, right? And so throughout - there's going to be opportunities. These are strategic acquisitions we make that give us capabilities and things like that. How do you think about capital allocation over the next 10 years as we try to fulfill our vision? So just the right things to think about, we’re spending a lot of time thinking about all those things right now.
Steven Forbes: Thank you for that. And then - sorry, Gary.
Gary Friedman: Yes. I was just saying with those - with some of the things I can’t tell you about yet but you’ll hear about soon.
Steven Forbes: We anxiously await them. The - maybe just a quick follow-up, right, given the unsolicited proposals for the residences out in Aspen. It sounds like it has you thinking right that the idea is bigger maybe not bigger than you originally thought. But curious if those proposals indicate something bigger about the opportunity maybe a quicker maturation behind it or where the mindset is on just the residences as a whole?
Gary Friedman: Yes. I don't think we've got to kind of rush here. I think we've got to kind of rush to learn and kind of conceptualize the right model. I don't think it's going to be hard for us to build beautiful homes and sell them. I think that we can do. Like what is the right model? How do you do it? Where you go like - is it is this one where we're, let's say, we decide to really, to really do this. Let's say we have some tests and we're like wow, this really works and we've also had strategic inbounds, people that want to partner with us and people that have read the Aspen press release. I've had CEOs of companies that are reaching out want to know would we want to partner and build RH homes together and do a JV. And there may be opportunities like that, right. There may be people that have what we don't have today, the ability to procure and secure land, know how to build homes at scale but don’t have our creativity, our taste, our style. Don’t have our brand so to speak. And - so there could be opportunities where you see us partner with major home brand or acquire one. I don’t know like if we get really good at it. So, there’s not - there’s lot of optionality here. I think the gist - I think the great thing I have said for years here to the team that, we're only in the 10% of the business. And sometimes people - new people say to me, what do you mean we're only in the 10% of the business? We’re in the 10% of the business on average at the high end. People spend about 10% on the furnishings of their house compared to the price of the house. So if you've got a $10 million home, you spend about a $1 million furnishing it. You spend a $5 million home, you spend on average $500,000 furnishing it, right. And that's just the math, $2 million, probably $200,000. That's generally the allocation breakdown. Not always perfect, but it's directionally right. So I've always said like we're in the 10% of the business. We don't sell the home. And we're actually handicapped being in the 10% of the business because where a lot of times furnishing a really crappy architecture home like I could bad designed home, a bad proportion home. And so, it doesn't even render our goods more valuable, right. Like all of our galleries are protected, beautifully, proportionately in a way that it renders the goods more valuable. Our - most of the homes we do - like most homes. Like you go on, again, I would say go into Zillow, go in Redfin, go in whatever what you. Like just click through and tell me how many homes really have great architecture and how many have good interior design. It's like such a small number. It's like less than 1 in a 100. It’s like less than 1%. So I love thinking about this market in that way. And like we could - whenever it’s like that - when the numbers look like that, you can create a new market, right? You can create an entirely new market. And that’s what our big idea is, not just to sell some home. It’s to create a new market at the high end for homes, that people really want an RH home because they’re just so well-designed, not furnished - like, the architecture, the logic, the sitting of the house, the landscape architecture, the pool, everything, like the whole thing is just so well-designed and then it's furnished incredibly. And so you just go, like, you just want to move in, right? Like, it's - like, we save you time. And, again, people with more money have less time. People with more time have less money, right? And what can you sell at the high end? You can sell time value. People will pay for time value. There's a lot of people on this planet that have more money than time. They've accumulated wealth and now they're at my age. You're 63. You think about how much time you have left and you look to buy time value, right? And I think that's - if you said, what are you really going to sell? We're going to sell time value, and people will pay for that.
Operator: Your next question comes from the line of Anthony Chukumba from Loop Capital Markets. Your line is open.
Anthony Chukumba: Thank you so much for taking my question. And, Gary, I'd just like to say as a sell-side analyst whose had a buy rating on the stock left 300 points, I don't want you spending your time thinking about what you're going to Tweet later today either. So I just wanted to kind of get that sense.
Gary Friedman: Thanks, Anthony. That’s good.
Anthony Chukumba: No worries. So these are more just kind of housekeeping questions. Probably more so Jack than Gary. But specifically, I just wanted to see if we could get a little bit of color in terms specifically the gross margin drivers, the SG&A leverage drivers and then just what your CapEx expectations are for 2021. Thank you.
Gary Friedman: Yes, Anthony. So, I think historically we've talked about very strong results as far as product on the product margin side as it relates to gross margin. And so Q4 is no different than what we talked about in Q3. It's about three quarters of the pickup is in our product margin which had a number of things that we talked about the decline in luxury mountain, the increase in the quality of product, cycling the rug business, operating the rug business at a higher margin among other things, outlet business as we talked about in MD&A and our filings. Obviously, it’s a lower promotional level. So that's where you're seeing the predominant amount of it. And then as far as CapEx for the year is concerned, you'll see in the 10-K when it's filed next week, the range that we're getting is $250 million to $300 million. That is a little higher than - this year, we ended up with sort of adjusted CapEx, you need to look at because a portion of it ends up putting it - is in op section of the cash flow. But this year we ended up at $180 million. So, then what I'll say about the elevation of the CapEx is there's a number of sort of development hills hat are happening this year that that will monetize in a future period. And then just finishing one of those stores we're opening was on a land lease. So there's just a number of factors that are just driving a higher CapEx this year including starting to spend money internationally.
Operator: The next question comes from the line of Michael Lasser from UBS. Your line is open.
Michael Lasser: Thanks a lot for taking my question. Gary, there’s been a sharp increase in the profitability of many of the players in the home furnishings industry. So do you think that the sector is now just structurally earning higher margin? And how does varying form how to think about our itches profitability in the second half of the year where when you talk about the two or two half and the second half that you will be facing some unique factors and much more difficult comparisons?
Gary Friedman: Sure. Yes. Good question. I think to answer that question you really got to look at what's the revenue growth that the businesses experienced in 2020, right? And that's why I made the point and I kind of repeated the point in the letter that we hit 21.8% operating margin on 8% revenue growth, right? So we had 750 basis points of margin expansion on 8% revenue growth. So that's the first part of it, right? So you can kind of book that, right? That's not going away because that's got nothing to do with the pandemic. That's got nothing to do with home furnishings tailwinds, 8% revenue growth nothing to do with that. So that's all structural and we would have - by the way it's about what we thought we were going to earn before the pandemic, okay? Our model was about 22% what we thought we'd make and then the pandemic hit. And with the pandemic hit, I mean, what it did is he just turned it into two halves. Now did we optimize a little bit here and there? We did but our plan was to have revenue growth slightly higher. So - but what we came out right about there. So if you've got people that have grown faster in 2020 than they had historically, there - you got to kind of say how much of that sticks? How much of the leverage sticks? And then there's a really important one to kind of figure out where everybody's going to land here is what - what the price structure and the promotional structure of the business, right? So we didn't get less promotional. We are - we don't have promotions, right? The only thing we have is we have things that we're discontinuing out of the assortment but we're not a promotional business, right? So there's businesses - if you study our industry, there's businesses that have - they've pulled back on promotions as they should, right. And they pull back on promotions and we're able to have X amount of demand or revenues. When the world cycles at some point, can they maintain a non-promotional stance? Because I'm sure people have picked up 200 basis points, maybe 300 basis points of a product margins because they used to be really promotional and now they don't have to be promotional because there is this increased demand. That's - to me that's the open switch. How much of the revenue sticks? So what happened to their margin in our industry is tied to an increased revenues which ours is not, because our revenues didn't shift. So you - again, if we - if you would have saw the $150 million of revenues hit in this year and we would have been at 23% operating margin, 120 basis points of our model, we would have pointed that to you. We would have said, it’s kind of in our view one time and maybe not structural. But there's nothing about our revenues in 2020 that are pandemic-assisted. There's nothing about our product margin that is pandemic-assisted. We were not less promotional than we planned to be, that we have - if we have a membership model. So the margin growth you saw on our product is real margin growth. It's not necessarily temporal at all so that's what I'd say or if you said. And then the other piece, the other one I'd point to is advertising, right? So if you're looking, particularly if you're looking at somebody like Wayfair and I'm not picking at Wayfair. I think honestly, if first I thought Wayfair was not going to make it. And I thought like when I studied their S-1, when they’re filing where I thought like yes, this doesn't look like a real thing but I've grown to appreciate and respect the platform Wayfair is built and their ability to generate a lot of revenue very quickly. The question in my mind with Wayfair is what's the real structural margin in the company? And so with someone like Wayfair, I think it's - you’re snow blind right now, right? There - it's like if you think about every restaurant in America and most of the world closed. So anybody selling kitchen stuff, the run on kitchen like if you go buy toasters and pots and pans and other things like that because now you're not eating out, even people like my household because my girls are way in college now. I mean, I eat out every night, like we eat out every night My partner and I and she went out and did like a raid on the kids like we’ve got a whole brand new kitchen, right? Because we are going to be home like so we've got all kinds of new stuff. She's cooking stuff, she's never cooked before. And so I look at kind of categories like that and I go, those may not be sustainable and also those are the things where she was going to buy it whether it was on sale or not, right? She was going to buy the cookware whether it's on sale or not. And it says if the promotional aspects of some of these businesses, some of these categories is very, very different, right? Like when the pandemic first happened, I was analyzing everything and is going on everybody’s website, I think I joked around, I said Wayfair has 60 pages of toasters and they do. It might be more now, it's 60 pages of toasters, I think 40 or 60 pages are sold out. So you have a run on businesses like that. But - so when I think about the industry and I think about where we sit in the industry, I try to understand the differences of what revenue was a gift. Like we have a lot of demand that was a gift, no revenue that was a gift, right? We didn't ship any of it. So we have 8% growth and the 750 basis points, oh, and then the other one is advertising, excuse me. As you think about advertising leverage someone like Wayfair got or other business - any - every business, right? We all got some advertising leverage like we missed a catalog cycle, right? The source book cycle last year. So call that, I don't know, $40 million, something like that, right, or $60 million.
Jack Preston: Yes.
Gary Friedman: The total on the year we still see in the 10-K is $49 million less in advertising that was…
Jack Preston: Yes. $40 million.
Gary Friedman: Yes, 40 - yes. So $49 million less. So you’ve got - what is that? About - a little less than a point and a half?
Jack Preston: Right.
Gary Friedman: So you say, hey, Gary. Can you guys sustain this? You’ve got to put that advertising back into the model. And that’s a good question. I’m not sure yet. I’m not sure. But that’s something that, like, we think about. Like, do we need to go back to mailing a book twice a year? Do - can we mail less books? Our big galleries and our investments in restaurants is driving more traffic. And what do we need there? But I'd say those - the revenue, the promotional structure and margin structure based on promotions, and then the advertising piece of it. And then, of course, if people got a big lift that - they're going to get occupancy leverage and some things like that that might come back. So I don't know how sustainable - if I look across our industry, the margin structure is as of today, I - everybody wants you to believe it is. That's why I made the point - and I was like - I'm kind of really happy. We only had 8% revenue growth because - nobody can be snow-blind here including us, right? So I like - like, hey, do we have roughly 22% operating margin business today? Without a pandemic, that's what we got. And how much pandemic boost are we going to have in 2021? If our revenues are up 15%, maybe a little, right, because we’re going to start growing internationally. And then when we start growing globally, we're going to open countries. We're going to open in Europe and be able to take online orders and ship to all of Europe. So it's not like we're opening and - in a market like Sacramento or we're opening a new store in Vancouver, Montreal or something. And we're opening in a huge country, I mean, in Europe should be the size for us, the closest size of the United States in volume, right. So that's big. Like it’d be like that’s coming to America with a brand that people know. Like I saw some - some analysts, I don’t know if they’re on the phone or not, like they tend to write kind of negative things about us all the time. So they knew who they are. But, like anything they could say, they’ll talk like oh, their business is down and their New York restaurant. Like, oh, that's - I mean, they're not going to make their fourth quarters, like give me a break. But after - but anyway, the - they're - in one of their notes they said like, yes, we have no - we have no market awareness. Like - like people don't know us. Like, don't look at some average market awareness study. Our customer is the top 1%. In many cases is that they are - the core of our business is the top half of 1%. Do that brand awareness. Go into London, go into Paris, and go talk to the top 1% who all dressed in the same labels. They all have Rolex watches and other things. They all go to the same restaurants. They go on while on vacation DeSanto Bay, Aveza, St. Barts, Aspen. They all know each other and they all know us. So, like you want to know about brand awareness and why we're confident. Okay, because the people that buy the other great luxury brands, they know about us. We’re the only high-end brand of our kind in the world. Everybody else is just a category player. They do self-sofas or they sell lighting. We’re the only one of our kind. And so the opportunity for us when you think about growth long-term is when we start opening countries like - that’s like coming to America and being relatively well-known at the market segment that you’re targeting and opening a gallery in New York and opening a gallery in L.A. something that like maybe compare that to Paris and London, right? And go in like and then open whole Internet to the whole market and you go like you don't think about it as stores. You don't think about it as markets. You think about what could the United States generate if I had a store in New York and L.A. - amazing stores in New York and L.A. and they knew my brand and all the sudden they have a website and I've been wanting to shop from them for years. And I've had to fly to America, buy stuff find, a container shipping company and ship it myself. Like I think there could be a run on the house here when we go international. Like I think it's going to be better than any anybody else's model who stepped across the pond.
Michael Lasser: That's helpful. My follow-up question is I guess we're all trying to figure out what sustainable demand is and when will we know what sustainable demand is. So can you replay the clock or the calendar for it last year and this year February demand I would assume that was core demand and it’s like 73% -- 
Gary Friedman: February last year was up 8%, yes, February last year was 8%, up 8%.
Michael Lasser: And how did March in full to give us some…
Gary Friedman: March, March, the store is - March, yes. So February last year was 8%, we told everybody it was up 8%, I think before the world fell apart. And so February is up 8% and it was kind of like right where we thought it should be. And we're up 73% in the core business on top of 8% last year. In the first two weeks of March, I think we were up 4% for one week and down 3% the other week. So we were kind of flat or up 1% in those two weeks, so against the flat first two weeks of March, we're up 96%, okay? So the way to think about it if you said, okay, if you've neutralized the 8% on February, you'd add 8 points to the 73%, you'd be up 81% and 96%. And so if you want to kind of stabilize the two months.
Michael Lasser: Very helpful.
Gary Friedman: And so they were up against all the closed galleries and closed restaurants and closed outlets. And remember, our outlet business, when it closed, it doesn't have a website. So we went to zero on the outlet, we went to zero on the restaurants and in our core business, RH core business and in our contract business, we could still take orders and stuff. Obviously the contract business, the longer we got into the pandemic and people realized that hotels and everything we're going to be closed for a long time, that business really took a hit and then our outlet business for a period time went to zero and the restaurant, right, went into zero. So big - think about big pickups in a restaurant business year-over-year, big pickup by in our outlet business year-over-year and a big pickup in our contract business year-over-year because the hospitality is now starting to spend again like they're now betting for the comeback cycle, right? So hotels are reinvesting, buying new outdoor furniture, things like that.
Jack Preston: Michael. It’s Jack.
Michael Lasser: I think it'll…
Jack Preston: Go ahead.
Michael Lasser: Do you think it'll be kind of May, June economy will be reopened, you’ll have some reasonable comparisons and then you'll get a sense for what the run rate of the business is?
Gary Friedman: Yes, I think you're going to - it might take longer than that, Michael. We started comping up pretty good in May and June. We kind of in the fall season, we peaked I think August, September, Jack, 45, 47 or something like that in the core business.
Jack Preston: 47 in August.
Gary Friedman: 47 in August.
Jack Preston: 46 in September were the core number.
Gary Friedman: Okay, yes. So we kind of peaked in there and then we had a bit of a slowdown in the Q4 period and some of that in Q4 we had more kind of clearance merchandise that we were moving through last year. So that that probably brought our growth rates down a bit year-over-year. We just had more stuff. We were transitioning some of our floors and other things. So we had some things that we were moving through that gave us a little extra revenue. But yes, I think that the real question Michael is this kind of accelerated lift that started the last two weeks of January, right? The last two weeks of January, we started to see an acceleration up into the 50s and 60s. And then it went into the 70s in February and a then the first two weeks of March into the 90s. And that's kind of unexplainable, right? But this is how we think about it. We think about it more, for instance, percentage lift, we look at the dollar trend of the business. So we got a dollar trend of the business and the dollar trend of the business unless there’s a real economic move here like if nothing happens, my sense is the dollar trend of the business could soften in the second half but I don’t think it’s going to collapse, right? And I think that that’s probably other people in the home business are looking at that and saying like, yes, the dollar the trend might swing 10, 15 points maybe up to 20. So, I sit here and if I - we roll this dollar trend out, we think it's the year could be unbelievable, right? But we think there's going to be some kind of slowdown. It's not so much the comp slowdown, it's the dollar trend. The dollar trend right now is much higher than last year's dollar trend when we were running up 40, right? Like in February, March, right? So that that means it could be a really good year for everybody in the home sector and that that might just mean some people like the headline and like stronger for longer, I don’t know if that one is yours or someone but someone's got the stronger for longer thing and I think that could be true. This thing could carry us through 2021 and it could go through 2022, none of us know. Like we're not building a cost structure for that, we’re going to stay inside our company like cost chase sales, don't ever have sales chase costs you'll always be behind. And I think the other positive people are going to get out of this is for the most part, I don't think too many companies are building the cost structure based on the trend. So everybody's going to get kind of more leverage during this period time. So but we're all trying to figure it out. I mean, we're all trying to figure it out and just - for us, it’s just understanding where is our fundamental business with or without a pandemic, so we can think long term and invest long term and kind of be ambivalent about the pandemic kind of, like, we’re ambivalent between online or store or whatnot. We don’t care about the channels. We really shouldn’t care about the pandemic. We need to look through the pandemic and pass this pandemic to invest intelligently for the future.
Michael Lasser: That’s very helpful. Thank you.
Jack Preston: And, Michael, it’s Jack. I did want to add just one point when you asked about H2 profitability just not giving specific direction here. But if you think about advertising, I just want to clarify. In 2020, we mailed books in the spring but not in the fall. So most of the spend happened in H1 versus H2. Obviously, the opposite is going to happen this year. We'll clearly mail outdoor book. But the books - the main books are going to be mailed in the fall. So you are going to have a flip flop of advertising…
Gary Friedman: Yes. It’s a big shift of advertising that we should probably - yes. We should probably kind of map that out for people so they can get their models right.
Jack Preston: Yes.
Gary Friedman: Yes.
Operator: Your next question comes from the line of Brad Thomas from KeyBanc Capital Markets. Your line is open.
Brad Thomas: Gary, I was hoping you could tell us a little more about the world of RH. And is this going to be a redesign of the RH website? Is this separate? How do you think about making your Web presence better as a transactional site and the importance of that? And just any more color on the world of RH.
Gary Friedman: Yes. Yes. It's just - it's really a rebuild of the entire website and kind of digital platform of the business. So it's just starting from scratch thinking about it across all the dimensions of these kind of new aspects of our business and brand. And think about it beyond just a website. But we think about it as a - it's a portal into the world of RH, right, that can take you through to our products, our places, our services, our spaces. Right. And so it's you know all the products and categories. Right. We have RH Interiors, RH Modern, we have RH Contemporary come in. We have RH Baby on trial. We have RH teen. We've got RH Outdoor. We have RH Rugs, RH Beach House, RH Ski House, RH Colors coming in. RH Couture is coming. RH Bespoke is coming in. So when we look out and we think about just the product world of RH, how do you architect that? How do you have someone navigate through that? How do you get credit for all of that on a flat screen? Right. And then we think about our places. It's really are our galleries, our guest houses, our restaurants and our residences. Right. And so those are all our places. So thinking about how someone can navigate through those areas, how do you get a reservation in one of our restaurants? How do you connect to the guest house? How do you learn about the residences that were either selling right now or we have in development? How do you look at our galleries, and what are the aspects of the different galleries and explore galleries online and maybe in a three dimensional way? Walk through a gallery like walk through the New York gallery like there and be able to shop the New York gallery online like you're in the store. Lastly we're looking at technology on multiple levels to be able to create the right kind of experience and interaction. So that's our products, that’s our places. Our services, as we think about them today, we have interior design services. We also have our contract business, right, which is kind of a service driven business. And long-term we think we can be in the architecture services business and the landscape architecture services business as we think about services as a services platform, installation services business, all kinds of things that, we can do that. we can kind of amplify the brand. And then our spaces are kind of a unique view into kind of spaces of RH which deal with RH3, luxury yacht, RH1 and RH2, our - today sort of in a corporate planes but they’ll soon be on the website and you'll be able to charter RH1 and RH2. And no one’s really even seen our planes but we designed them with the vision of they're going to be part of the ecosystem because again, we're trying to build luxury brand and you think about the very top of the pyramid. And I say, you kind of go from buying homes and then you go up to that luxury mountain and you buy a lot of homes and then you get really, really rich and you buy a jet and then you get kind of silly rich, and you buy a yacht, right? And so those are - it's the hierarchy of kind of spending in that world. And so we’re - you're going to see RH1 and RH2 which if you ask Gulfstream, they would tell you that RH1 is the most beautiful plane we’ve ever built. And they've done things that have never been done because we challenge them and help them think through how to do things. In fact when they had a Gulfstream [indiscernible] after a long - when we have a 12-hour meeting there till 2:00 in the morning with their engineers and everybody and that said, okay, Gary, we're doing a recap. I'm going to send you the upcharge for that custom galley - the galley that you designed, and I said, that's great, Marcus. And I'm going to send you my design feeds for that custom galley that you're going to want to sell to other clients. So - but we know a lot about like plane design right now. We know how to design a beautiful plane. We have just kind of redesigned RH3 and it’ll be ready for primetime here in about a month and you see a beautiful yacht and you’ll see other things that other spaces will evolve in this kind of really rich world and content. I mean, basically documentaries on The World of RH that talked about the building of or the designing of something and things that are people are really interested about who are into design and to spaces. Lots of layers to it and then a massive upgrade in just the consumer experience for just buying product, right? Massive leapfrog as it relates to that.
Brad Thomas: That's great. Thank you, Gary. And a model in question for Jack just as we think about rising raw material prices and freight prices that many in the industry are seeing. Could you give us any sense of how we might think about that impacting the model? Obviously you all have pricing power, you've demonstrated that but does that have any impact on how we should be thinking about the models here?
Gary Friedman: Let me just jump in for a second. Again, I'd point you to the fundamental point that our goods are a lot more expensive, right? So as a percentage of our sales those factors are going to be a lot less, right? So start with we sell a cloud sofa $10,000 to $12,000 - $10,000 to $14,000. The freight on a $10,000 to $14,000 sofa is a lot lower than the freight on a $2,000 sofa as a percent as a percent to sales, right? So you got to start with - will we be impacted? Sure. Will it be to a much smaller degree than if you’re CB2 or to or West Dalmar something like that or Pottery Barn or Crate & Barrel or places like that, yes, like you have to look at the price structure of the goods that - again, if we’re using about the same amount of wood but ours product is just designed much better and it's a higher quality product and yes, it's going to be a smaller percentage. So that's why you don't hear us talking about it as much because the impact at this point is less and it’s in our model.
Operator: Your next question comes from the line of Tami Zakaria from JPMorgan. Your line is open.
Tami Zakaria: Thank you so much for taking my questions and congrats to the team on the very strong results. I do have two quick questions. The first one is could you share some details on the distribution center that's coming on live in terms of what would be the incremental rent or incremental operating expense to run it or the incremental CapEx to build it? Any details around that would be helpful.
Gary Friedman: Yes, it's all in our model. I don't know if we're disclosing individual rents of DCs and stuff like that but it’s all in our models. It’s all in our projection. It’s all in our plan. So…
Jack Preston: And the CapEx is modest as it relates to the 250 to 300…
Gary Friedman: Yes. Yes, nothing…
Jack Preston: …I gave you. It’s a non-event. Like anytime you have a DC, there's a little step up here. So we’re in a step up here but we're absorbing that cost. And so we'll - it’s probably in the first year it's a bit of a drag on occupancy. But by year two, year three, we'll start getting leverage on the property, right, versus the step-up.
Gary Friedman: But it’s - so it’s in our model and in our projections.
Tami Zakaria: So that’s a great segue to my second question. I did want to go back to the comment that you saw 750 basis points of operating margin expansion in 2020 on 8% of revenue growth. So for this year you’re guiding to 100 basis points to 200 basis points on top-line growth of 15% to 20%. So are you being conservative because there should be - I would think there should be natural leverage from all the results of sales going through? So is that just for being conservative, or are there any onetime expenses that are pressing this year and should go away next year and the years to come to help us sort of understand why operating margin expansion would only be 100 basis points to 200 basis points on 15 to 200 - 15% to 20% sales growth?
Gary Friedman: Yes. I would just kind of look at the history here and ask yourself, are we generally conservative, are we generally aggressive on our projections, right? So you can draw that conclusion, right? And with the comments I made earlier, I mean we wouldn't say a minimum of 15% to 20% growth and 100 basis points to 200 basis points unless - like I said, obviously, history would tell you here is look at the last - I don't know X number of years that we're relatively conservative in how we guide. And we generally outperformed our expectations, especially the ones we give at the beginning of the year. The question here is will there be a big economic change? Like, nobody knows that. Like, will there be a recession, will there something else happen? Nobody knows that. But if not, we've - we feel more optimistic than pessimistic about things right now. But we tend to under promise and over deliver, so.
Tami Zakaria: Got it. That's super helpful. So, there's really nothing onetime or sort of unnatural something impacting this are, it's just being conservative - prudently conservative.
Gary Friedman: You can frame it that way. Yes, essentially.
Tami Zakaria: Got it. Great. Thank you so much.
Gary Friedman: I wouldn't say that was wrong.
Operator: Your next question comes from the line of Cristina Fernández from Telsey Advisory Group. Your line is open.
Cristina Fernández: Two questions and hopefully a quicker one. The RH In Your Home which you commented a couple of times, you've been testing it for some time now only in California. I guess, what do you think you still need to improve to be able to roll that out across the U.S.?
Gary Friedman: Yes. I think we've only been testing RH In Your Home for how long, Fernando, a year?
Jack Preston: Three months.
Gary Friedman: Three months. So now full tests, three months. Yes. So, like this is a whole another level of kind of, yes, we've been talking about it for year, testing for three months. Yes. We've never really talked - I don't think we really talked to you in a detailed way about RH In Your Home and furniture ambassadors and then anything the Teslas or anything other?
Jack Preston: No, no.
Gary Friedman: No, no. Yes. But we'll soon have - you’re going to have this gray RH truck and furniture ambassador in a separate Tesla car, gray car. Yes. And they don't have a Teslas yet, I thought they might have the Tesla. But I got him an order. But it's a whole different experience, right. It's like sending a highly trained furniture ambassador into the home with our delivery team, right. That is managing the whole process with the customer that is upselling in the home, that is doing all kinds of things if there's a problem, we solve it immediately, the stress for the customer goes down, it’s a completely different experience. It’s a different investment so we're testing it. It’s obviously you're putting another person on the road and another person and a relatively high paid person we're sending in the home, right, so kind of it almost an interior designer quality person furniture ambassador in the home.
Cristina Fernández: Okay. Thanks. And then the other question was some of the new businesses, RH Couture and RH Bespoke, I feel like today's the first time you've talked about those. Can you give us some detail sort of what your vision for those businesses are?
Gary Friedman: It's all I'm giving you. I would just take the words themselves and use your imagination.
Operator: Your next question comes from the line of Peter Benedict from Baird. Your line is open.
Peter Benedict: Listen most of my questions have been asked and answered. I just wanted to wish Gary a Happy Anniversary.
Gary Friedman: Thanks, Peter.
Peter Benedict: Well, let me just take one in Gary, just very quickly. The new DC in Southern Cal, I know you guys are closed a few years ago. I just don't know if this is just - this is now getting bigger so you need it now. Is there anything different you're doing with that DC versus what may have not yet previously that's my only question? Thanks so much.
Gary Friedman: Yes. It’s really kind of an investment. I think about it as an investment into the outdoor furniture and special order business. So it’s architected for those two businesses, design for those two businesses, and building to leverage those two business and run them in a more focused way to kind of get better customer experience, grow those businesses, and services business is better. So before we just had a full DC in Southern California with kind of redundant DCs in Northern and Southern California, yes. But each have things like for example all that - most of our outdoor furniture is coming out of - teak is coming out of Indonesia and metal furniture coming out of different parts of Asia, Vietnam, China and things like that. So every major container ship that's coming in is first stopping in Southern California and then going up to Oakland - the port of Oakland. So you pick up seven days immediately right there and then just the way we're going to handle and process thought crosstalk businesses, this is speed to the consumer and then if you think about the outdoor furniture business Southern California is our largest outdoor furniture market by far. And then the southern states are a lot of our strongest very, very logical. So the ability to get the goods delivers faster in the biggest markets and hit the southern states faster and think about the trucking lines and our businesses - the reason we can do this not everybody can do this is our businesses are really big, right? I think these are - like, our outdoor furniture businesses are real businesses - I mean I think our outdoor furniture business is bigger than some of our biggest competitors today at the high end, right? I think some of the - by far but they’re just outdoor against their entire business. That’s it. Like, we’re having an internal conversation here. I think about, like - you might think about, like, a higher quality national brand or something like that. So it’s a real business, right? That’s the great thing about starting to have scale like this. You can - it allow you to kind of segment and focus on businesses in a very unique way and optimize businesses like you only ran that business. And then if you think about the special order business, it’s a completely different business, got a different model. And how do we run that business at a much more efficient way, better customer service, faster delivery, things like that? So it's really an investment. We've been talking about this internally for a long time, investing into those two businesses.
Operator: Your next question comes from the line of Zach Fadem from Wells Fargo. Your line is open.
Zach Fadem: Quick one. One thing you haven't mentioned today is the art curation initiative with General Public. Just curious if you can talk about this a little bit, and how you see fine art as a potential opportunity for your business.
Gary Friedman: Yes. Well, this is an idea that Portia de Rossi came to us with and she's really the entrepreneur behind it. She figured out the technology and the 3D printing or - what does she call it? It’s called [xenograft] yes, xenograft. It's like a 3D printing. Like - you can look at a beautiful textured hand painted piece of art. And this - it replicates it perfectly. Like, you'd need a real art expert to be able to tell the difference. And her and her partner, Ellen, Ellen DeGeneres, they’re big art collectors. They've got great taste and style. Their homes are fantastic. And they just have incredible taste in art. And I think Portia is art history major. It was one of the things she studied. And she's just very, very smart entrepreneur. And she had a big idea about this. And she kind of came through some friends, made a connection to talk to me about, here's my idea and it’s what I'm doing. She just kind of got it started. And we loved the idea. We loved her taste and style. And we said look, we think we can be the platform that can amplify your idea. We can be your best partner. And that's what we've done. And she's working on ramping production and expanding the assortment. And the great thing about Portia like you just always know like what she's going to show you, you're going to want to buy because she's got such incredible taste. Except I'd say, she's probably listening to this conference call, there’s dog pacing but she came to me a few years ago. I know, I was joking around. So it's better actually, now I really like them and we're going to probably ask them. But I’m just joking around in case she ever hears this conference call. But no, I think it's an incredible opportunity for us. When you think about all the walls in a home and all the opportunity, there's more square footage on the walls than there is on the floor. And so yes, and it’s one of the reasons why initially years ago some of you may remember, we tried RH Contemporary Art and then we pulled back and we may try it again. The tough thing about we RH Contemporary Art was you only get to sell the item one time. So if you had it like a best seller, you had a great piece, you use that transfer of happiness happens one time. And then you're like, okay, we sold it and then now what do we do? Like I got a thousand people that want that piece of art and they sold it. So, the great thing about Portia's strategy, she said - what was her line? Great art for general public - I can't remember. She has this whole great view about it is - like her thing is this, imagine if the great books in the world there was only one that you couldn't publish another copy. Like that was her whole - I thought that was just brilliant. Right. Like imagine, like every book was just a collector's item and only one person could have that book. It makes no sense. Right? And so her idea and what - and the great thing about her, she's just tremendously persuasive. So she's great with all the artists. Because a lot of the artists are trapped in the old school of like I've made this and that's my piece. And now like this one person in the world owns that piece. It's kind of goofy. Like when you think about it. If he like, a fashion designer designed like one dress or one coat and no one else could enjoy that except for one person. So she's got this different view and the way she's framing it. And because she's a credible - her and Ellen are really credible art collectors and they've got incredible taste. And they've been advocates for the art community for a long time. That people trust her, and I think she's breaking through and she's getting better and better people on the platform. And she's convincing them like why only print one copy of your work. Like great novels there's not just one copy, right. And so people are starting to get that. And I think it could fundamentally change the art world permanently. So, that's the idea.
Operator: And there are no further questions at this time. I will turn the call back over to management for some closing remarks.
Gary Friedman: Great. Thank you very much everybody for your time and attention today and your interest in our business and brand. We know it’s been a crazy and difficult year and we just want to thank all of you, thank all of our customers, thank all of our people around the world that not only just work for our company that work on behalf of our company and making the products and delivery in the products and making the supply chain work. This is just a year like none of us could have imagined and a lot of people made a lot of sacrifices to the lot of risk to kind of keep everything going in this world and we sure are thankful and we couldn't be more excited about the future and about the opportunity. So thank you, everyone, and we look forward to talking to you at the end of the first quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.